Operator: Greetings, and welcome to the Doman Building Materials Group First Quarter 2023 Financial Results Conference Call. At this time, all participants are in listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ali Mahdavi, Investor Relations. Thank you. You may begin.
Ali Mahdavi: Thanks, operator, and good morning, everyone. Thank you for joining us today for Doman Building Materials First Quarter 2023 Financial Results Conference Call. Joining me this morning are Amar Doman, Chairman and Chief Executive Officer; and James Code, Chief Financial Officer. If you have not seen the news release, which was issued earlier, it is available on the company's website as well as on SEDAR along with our MD&A and financial statements. I would also like to remind you that a replay of this call will be accessible until midnight, May 26. Following management's presentation, we will conduct a Q&A session for analysts only. Instructions will be provided at that time for you to join the queue for questions. Before we begin, we are required to provide the following statements regarding forward-looking information, which is made on behalf of Doman Building Materials Limited and all of its representatives on this call. Remarks and answers to your questions today may contain forward-looking information about future events or the company's future performance. This information is subject to risks and uncertainties that may cause actual events or results to differ materially. Any information regarding forward-looking statements is made as of the date of this call, and the company does not undertake to update any forward-looking statements. Please read the forward-looking statements and risk factors in the MD&A as these outline the material factors which could cause or would cause actual results to differ. The company will not provide guidance regarding future earnings during today's call, and management does not anticipate providing guidance in future quarterly or interim communications with investors. I'd like to now turn the call over to Amar.
Amar Doman: Thanks, Ali, and good morning, everybody. Thanks for joining the call. Let me begin by highlighting some of our key financial metrics, followed by some color on our operations during the first quarter. And then I'm going to hand the call over to Jay Code, who can review the numbers in further detail. Let me start by briefly discussing our first quarter results and what we are seeing in the market and how supply and demand looks as we push through into the second quarter. We are pleased with our first quarter results. However, we continue to monitor inflationary and interest rate concerns and if and how they may have an impact on our business. Our financial and operational performance in the first quarter is a testament to our ability to work through volatile markets, and our team's track record on managing the business through similar cycle. Throughout the quarter, we remained laser focused as always on margins and optimizing our balance sheet. The strength in our first quarter results came from the combination of the impact of our strategic acquisitions, steady volumes in all our markets, which resulted in strong revenue performance in the quarter. Further, our ongoing cost management focus on operational efficiencies and successful integration efforts enabled the company to realize strong gross margin and EBITDA margin performance. Simply put, we optimize the use of all the levers available to us in our resilient business model to maximize margins. During the first quarter, consolidated revenues amounted to $609 million compared to $851 million in the same period in 2022. The decrease in revenues is largely due to the impact of construction materials pricing, which peaked in the comparative period in 2022. Our treated wood business continued to deliver strong performance during the period due to increased demand and volumes coming from consumers, both in Canada and the U.S. I am both pleased with and very proud of our employees on both sides of the border for their hard work and attention and serving our customer needs with the utmost attention to quality and service. As a result of our collective efforts, I am pleased to report that for Q1, our team delivered revenues amounting to $609 million, gross margin remaining strong at 16.1%, $98.2 million, EBITDA of $44.8 million, and our net earnings came in around $15 million. Lastly, we paid a quarterly dividend of $0.14 per share in the quarter. While lower on a year-over-year basis due to the lower pricing, our top line results are demonstrative of the continued strength of our business platform in Canada and the States. I'm extremely pleased with our financial performance, which has resulted in the continued successful unfolding of our overall growth strategy. Although the economy is performing fairly well, we continue to see the risk of general economic headwinds manifesting [indiscernible] inflation, increased interest rates along with price volatility in certain product categories. We remain focused on adapting and performing during these uncertain times, which is a familiar territory for our team as we focus on growth and overall cost management. Looking back at the quarter and looking ahead, we saw some evidence of these headwinds, which we are cognizant of and the potential impact on our performance. Despite the current market environment, as always, we remain confident, focused and disciplined on closely managing our costs and servicing the needs of our customers with the highest level of quality and service as we have done in the past. And with that, I'd like Jay Code, our CFO, to take over and provide a review of the company's first quarter 2023 financial results in greater detail, and then we're going to open up the call for analyst questions. Jay?
James Code: Thank you, Amar. Good morning, everyone. Sales for the quarter ended March 31, 2023 were $609.1 million compared to $851.3 million in the comparative period in 2022, representing a decrease of $242.2 million or 28.4%. The decrease is largely due to the impact of lower construction materials pricing, which generally declined since reaching a peak in March of 2022. The company's sales by product group in the quarter were made up of 75% construction materials compared to 81% last year, with the remaining balance resulting from specialty and allied products of 21% and other sources of 4%. Gross margin decreased to $98.2 million in the quarter compared to $132.6 million last year, a decrease of $34.4 million. Our gross margin percentage was 16.1% in the quarter, an improvement from the 15.6% achieved in Q1 last year. Expenses for the quarter were $70.5 million, largely in line with the $70.7 million expended in 2022. And as a percentage of sales, these expenses were 11.6% this quarter compared to 8.3% last year. Distribution, selling and administration expenses decreased by $1.1 million or 2% to $53.4 million this quarter from $54.5 million last year, largely due to the company's ongoing efforts to execute on cost-saving opportunities. As a percentage of sales, DS&A expenses were 8.8% in the quarter compared to 6.4% in the prior year. Depreciation and amortization expenses for the quarter increased by $896,000 or 5.5% from $16.2 million to $17.1 million, largely due to the impact of foreign exchange on the translation of our foreign operations. Finance costs for the quarter were $10.6 million versus $8.4 million last year, an increase of $2.2 million, largely due to the higher interest rates on the company's variable rate loan facilities, which were partially offset by significantly lower average balances for these facilities in the current quarter. Our first quarter EBITDA was $44.8 million compared to $78.1 million in 2022. The decrease was largely attributable to the lower sales and gross margin dollars, driven by the previously discussed year-over-year decline in construction materials pricing. Doman's net earnings in the first quarter were $14.9 million versus $42 million in 2022, a decrease of $27.1 million. Turning now to the statement of cash flows. Operating activities this quarter consumed $76.3 million, a significant improvement compared to the $125 million consumed in Q1 2022. The main contributor to this improvement in operating cash flows was our stringent working capital management, partially offset by this quarter's lower net earnings. Operating activities before noncash working capital changes generated $38.1 million in cash compared to $62 million in 2022. While changes in noncash working capital consumed $114.4 million in cash compared to $187.1 million last year. The decrease in cash consumed by noncash working capital largely resulted from our ongoing efforts to optimize inventory volumes, while maintaining the highest standards of customer service. Additionally, last year's higher construction materials prices resulted in significantly higher average unit costs for inventory and trade receivables at March 31, 2022. Turning now to financing activities. This quarter, we generated a total of $77.4 million from equity and debt stakeholders compared to $107.9 million in 2022 with the year-over-year decrease largely attributable to the company's ongoing debt reduction strategies. Scheduled repayments of our non-revolving term loan consumed $667,000 consistent with last year and payment of lease liabilities, including interest consumed $6.5 million compared to $6.1 million last year. The company's lease obligations generally require monthly installments, and these arrangements are all in good standing. We borrowed an additional $96.2 million on our revolving loan facility this quarter compared to $127.2 million last year. The year-over-year decrease in net advances from the facility is largely a result of the previously discussed stringent working capital management, resulting in the significantly lower facility utilization this year. Shares issued in the current quarter generated $625,000 compared to $632,000 last year. The company also returned $12.2 million to shareholders through payment of dividends, largely consistent with Q1 of 2022. And we also note the company was not in breach of any of its lending covenants during the quarter ended March 31, 2023. This quarter, we invested $1 million in new property, plant and equipment compared to net investments of $2.2 million in Q1 2022. And this concludes our formal commentary, and we'd now be happy to respond to any questions that you may have. Thank you. Operator?
Operator: Thank you. Ladies and gentlemen, at this time we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Hamir Patel with CIBC Capital Markets. Please proceed with your question.
Hamir Patel: Hi. Good morning. Amar, one of your treated peers in Canada is seeing exceptional growth in the utility pole business and the outlook in that category looks perhaps 20% growth for a couple of years here. Is that a market when you think about future growth opportunities either organically or through acquisitions that Doman might look to expand into?
Amar Doman: Yes. I mean at this point, we're focused on our residential category, which we're experts in. If opportunities come up, we'll take a look. But certainly, we don't really play in the industrial market. It's not really our world.
Hamir Patel: Okay. Fair enough. And then just on the residential front, I know we're seeing signs of more residential density changes playing out in Ontario and expectations of changes here in DC later in the year. Do you think that could be meaningful for your Canadian business if it drives more formations away from multifamily?
Amar Doman: Yes, we do. And we also -- after we've seen the last two or three years, both sides of the border, extreme housing activity, the decking and fences as mentioned in the past always come in a little bit later. So we're seeing some of that happening now. Obviously, lumber pricing being down, call it, 60% year-over-year, obviously reflecting in our top line. Cheaper lumber is good for the consumer. So we're starting to see good action there too. And I think some of those formations that you mentioned will contribute to that, but also, there'll be a bit of a backlog still on decking and fencing activities.
Hamir Patel: Great. Thanks, Amar. That’s all I had. I’ll turn it over.
Amar Doman: Thanks.
Operator: Our next question comes from the line of Steve Hansen with Raymond James. Please proceed with your question.
Steven Hansen: Yes. Good morning, guys. Amar, could you speak to the margin profile a little bit like how and where did you manage to achieve the margin profile that you did is quite strong relative to past quarters? Is there a regional issue? Is it a mix issue? It's a combination of both? I mean, how do you ascribe it? And ultimately, what do you think about the balance of the year?
Amar Doman: Yes. I think we're back to, call it, a normal pattern. So when you look at our gross margins in the last couple of years, they're all over the map a little bit because of the extreme volatility we had. With that in the rearview mirror now you should start to see our gross margin profile smooth a little bit, but still be within the band, but that was a good quarter for us. Nothing special. It was in that quarter. Obviously, the lumber market was pretty flat. And so just good operational efficiency showing what we can do as a new company after the Hixson acquisition as well, but also just focusing on what we do and getting the noise out of the market, I think, started to demonstrate what the company can perform like on a margin basis.
Steven Hansen: Okay. That's great. I just -- I'm thinking back some time now, but I used to always think of 14.5 to 15 is sort of the target range, where it sounds like it could be a little bit higher with Hixson sort of blending in better.
Amar Doman: Yes, it could. And there's never a straight line with gross margin, but that's in the neighborhood. This is sort of a higher watermark for us. It was definitely good. But we'll move around with the lumber market a little bit, but we really shouldn't move too much once we have, like I said, some sort of footing on the lumber market than we should be in this band.
Steven Hansen: Okay. That's helpful. And how do you feel about the balance sheet today from a working capital standpoint? It sounds like you leaned it down intentionally and strategically. How do you feel about it relative to the activity levels you're seeing out there? Is it the right spot? Do you feel like you're lean? Or how do you think about that?
James Code: Yes, Steve, it's Jay here. We started on these efforts back in March of 2022 to lean out inventory. And from those efforts, we have learned a lot, and we're actually running the business with less working capital now than we ever have relative to revenue. And frankly, we're finding that we can service customers with carrying less inventory and still managing fulfillment rates very well. So it's working for us, and we can see ourselves going forward, continuing that. Amar, do you want to comment?
Amar Doman: No, I think that's the right answer. And we're being able to turn faster and run more with less. I think also transportation snafus don't seem to be there in supply chain issues or a thing in the past. So we can get stuff quicker. We can turn stuff quicker. And that's all -- again, all that supply chain and railcar stuff. That's all in the past. So for us now, if we can get it faster, we can turn it faster and that's great for the balance sheet.
Steven Hansen: No, that's great to hear. The rails do seem to be operating on a more steady rhythm lately, which is great. Just maybe lastly, and I'll turn it over, is just how do you feel about the broader growth opportunity set in front of you, Amar. You've done some strategic M&A here in recent years, of course, you have a long history of that. But in terms of the opportunity set today, as it stands, is the pipeline reasonable? Are you even looking where do we sit?
Amar Doman: Yes. Right now, we're always in discussions. These things don't happen overnight. Sometimes they take years in negotiations and relationship building and that kind of stuff. So we'll just carry on the path that we're on. We're not afraid of acquisitions. We're not afraid of the economy. We're experienced operators. So we'll be able to focusing on a value opportunity more than anything is what we look for in our business than try to grow it. So when we see those things line up and it makes our metrics, we'll step in, in any kind of economy to buy a business that makes sense to glue into Doman.
Steven Hansen: Okay. Very good. Appreciate the time guys. Thanks.
Operator: Our next question comes from the line of Paul Quinn with RBC Capital Markets. Please proceed with your question.
Paul Quinn: Thanks very much. Good morning, guys. Just on -- if I look at hardware is a leading indicator on the [rebottleneck] (ph) activity, and they've got that coming down sharply in mid-2023 here. Do you find that's a leading indicator for your business? Or how do you expect there -- what's your feeling around R&R business going forward here?
Amar Doman: Yes. I mean, for us, their business is quite different. They're selling seat goods and higher-end hardwoods and things of laminates for your kitchens and that's not really our stuff. But on the overall sector, Paul, more towards your question about that, we're not seeing the demand drop off in our products. In fact, just because I think there was so much not done, even though there was a lot done during the pandemic, there were decks where the pricing was too high now, you can buy a deck for, call it, 60% less than you could a couple of years ago. That's driving activity. There's been a lot of damage on the West Coast, which is -- it's unfortunate, but very good for our business in California. And when the sun came out in California, our business is just booming there. So it's not just damage, there's repair and remodel, there's pent-up demand. So our volumes, including Texas, are extremely strong, even though the top line is off, it's not representative of the volumes in the pickup that we've had in North America.
Paul Quinn: Okay. That's good. And then just on -- just so help me better understand this, your growing sort of pressure-treated business. Is there an index? I mean, random lengths cover is pressure treated, but is there something that you look for that gives indications about how that market is doing, i.e., if you're in my seat, how would you gauge the strength of that business overall?
Amar Doman: Yes. I think you look at a few things. Number one is that, repair and remodel market, but also home starts matter. But I always say after strong home starts, people start to add their decking and fences sort of those mass areas where you've got track homes and people choose and select a custom deck or a fence, frankly, if you've got a pet or a child, you're going to have a fence immediately. The deck you're going to price out, composites play a good part. We distribute a ton of composites with our partners. But frankly, lumber will always be your joist and also your most cost-effective product in the backyard. And for us to gauge demand, we've gone through several recessions, Paul, so I can just tell you as an operator, we don't see demand fall off in pressure-treated. People stay around their home. And now with people not transferring mortgages, we see more of that. That's why home listings aren't happening. People are still going to probably now stick with their home in the low mortgages if they locked in. That's good for our business because they're going to hang around the house and do something.
Paul Quinn: All right. Thanks very much. Best of luck.
Amar Doman: Thanks, Paul
Operator: Our next question comes from the line of Zachary Evershed with National Bank Financial. Please proceed with your question.
Unidentified Participant: Good morning. It's actually Nathan calling in for Zachary this morning. So we're seeing a pretty wide divergence between cash lumber prices and futures. What's your take on that? And perhaps what does that imply for activity and demand that we'll see over the summer months?
Amar Doman: Yes. We don't focus too much on futures here, Nathan. We just run the business mostly on a cash basis really and play it that way, if you will. The disconnect from what we've learned a little bit, it's a new contract, and it's just a little bit sloppy and it feels disconnected to cash for whatever reason. It's a smaller contract now, as you know. And I think the market is just sorting through that a little bit. Futures in lumber are notoriously not correct with cash. So we don't put a lot of stock in what futures are doing to cash. I guess, a long answer to your question.
Unidentified Participant: Appreciate the color on that. And just pulling on that inventory thread that you were talking about before. So you've like channel partners take similar actions during volatile macro times where inventory is kept at bare minimum levels. What was your playbook then? And how are you reacting to it now?
Amar Doman: Yes. As Jay indicated, we just talk about current really and what we're doing, and that's operating with leaner inventories turning faster. It's just we can get stuff quicker as I mentioned. So we're able to be more agile right now for our customers. And I can tell you, to fill in the second part of that, our customers are doing exactly the same thing just in time. They're only buying -- sell one, buy one, sell one, buy one. Everyone sort of got this bubble of fear, I think, on them of just where interest rates are going, the whole economy. But having said that, [indiscernible] the truckload business still is right into that strategy, we call it LTL in the business and people are buying less than truckloads. That's when our distribution side really kicks in and has. And so for us, we're carrying less, the pipeline is carrying less, which could be when you see curtailments come, and we're not fortune tellers here, but if more and more of these curtailments come, you're going to see a good spike in lumber just due to everybody running too lean now, and then a bunch of production comes off and then that demand is going to go up because nobody has a lot of material stacked up anywhere.
Unidentified Participant: Thanks. And I will turn it over.
Operator: Our next question comes from the line of Ian Gillies with Stifel. Please proceed with your question.
Ian Gillies: Good morning, everyone. I'm just curious, given you have a view into both. Do you get a sense that pressure treating or pressure-treated decking starting to maybe capture some market share back from composite given the relative pricing differences?
Amar Doman: Yes, I think it does. It's hard for us to gauge that, Ian, but I'll tell you that, again, if you go out and price the deck today, the composite is still usually 3 times to 4 times. So a lot of the composite gets used in smaller places or industrial places where it's a big commercial thing. So -- or a small [indiscernible] deck or a little dock, but lumber is still the big, big volume mover. And of course, you're underneath your joist, your fencing isn't composite, it's all lumber. So we believe that just the whole decking market continues to grow and people continue to do more unique things in their backyard, create bigger outdoor space, more decks, more outdoor living area. So that's just good for the business in general. And we play both sides of it. So we distribute the composite or the lumber whatever the customer wants we've got.
Ian Gillies: That's helpful. And then in the U.S., it's a little easier to get a sense of what the homebuilders are doing. In Canada, it's a little more challenging. Do you get -- how much of a sense do you get they're slowing down based on, I guess, anecdotal evidence and so on and so forth?
Amar Doman: Yes. I mean I think we all read the same housing start numbers, but us talking to some of our pro dealers, our box partners -- our volumes are actually moving the needle up right now compared to 2022, which we did not forecast, quite frankly. And it's not relative -- or it's not apparent, I should say, in our top line due to the lumber pricing that's way off from last year, but our volumes are trending higher in almost all regions. And that's right into May. So there's activity going on. And again, California spurted late, and California is extremely busy for us. And of course, the mid-section of the U.S. is very, very busy. So we're not seeing it. We're not seeing a falloff or a collapse. In fact, we're seeing the volumes tick up.
Ian Gillies: Got it. And do you have a sense of time line on when you'd like to have a resolution to the small notes you have due this year on the balance sheet?
Amar Doman: Yes, we had our Board meeting yesterday, and we discussed that. So we'll have a strategy for that to us. It's -- $60 million. It's not a real material part of our debt stack. And we've got a lot of different strategies available to us that have been presented to us. Anything to add there, Jay?
James Code: No. Just that, of course, as you know, it's maturing in October. So we do have a little bit of time. And as Amar says, lots of options open to us, including using our asset-based loan, the revolving loan facility to pay that down with ample availability at this point and projected.
Ian Gillies: Prefect. Thanks very much. I’ll turn it back over.
Amar Doman: Thanks, Ian.
Operator: There are no further questions in the queue. I'd like to hand the call back to management for closing remarks.
Ali Mahdavi: Thank you, operator. On behalf of the Doman Building Materials team, I'd like to thank you for joining us today, and we look forward to speaking with you again on our second quarter 2023 conference call. That concludes today's call, and I'll hand it over to the operator to wrap things up.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.